Operator: Good morning, and welcome to Cadeler's Third Quarter 2025 Earnings Presentation. Presenting today are Mikkel Gleerup, Chief Executive Officer; and Peter Brogaard, Chief Financial Officer. Please be reminded that the presenters' remarks today will include forward-looking statements. Actual results may differ materially from those contemplated. The risks and uncertainties that could cause Cadeler's results to differ materially from today's forward-looking statements include those detailed in Cadeler's annual report on Form 20-F on file with the United States Securities and Exchange Commission. Any forward-looking statements made this morning are based on assumptions as of today, and Cadeler undertakes no obligation to update these statements as a result of new information or future events. This morning's presentation includes both IFRS and certain non-IFRS financial measures. A reconciliation of non-IFRS financial measures to the nearest IFRS equivalent is provided in Cadeler's annual report. The annual report and today's earnings presentation are available on Cadeler's website at cadeler.com/investor. We ask that you please hold all questions until the completion of the formal remarks. At which time, you will be given instructions for the question and answer session. As a reminder, this call is being recorded today. If you have any objections, please disconnect at this time. Mikkel Gleerup, you may begin.
Mikkel Gleerup: Thank you very much, and welcome to this Q3 presentation from Cadeler. Thanks for everybody who's dialing in for listening to us today. With me today, I have Peter as normal, and Peter will take you through the financial section of the presentation. So just the standard disclaimer. And we can say that this quarter, the highlights of the third quarter of 2025, we can say that it has been financial performance in line with our expectations. We have, in this quarter, also signed the third full scope foundation T&I contract and also 2 turbine installation T&I contracts. We have delivered 3 of our 4 newbuilds scheduled for delivery in 2025 already. And we have the remaining newbuild, the Wind Mover on track for delivery, and she is delivering current expectation within the next couple of weeks. We have had very strong utilization in the third quarter. We have had 92% utilization. And we believe that, as we have always said that, that is a strong measure of our business, and we are working across the globe in both U.S., in Europe and in Asia. And we are continuing with very strong execution. We have the Wind Ally currently mobilizing for the Hornsea 3 foundation T&I project, and we have the Wind Keeper now here in Denmark at Fayard and also upgrading before she is embarking on her long-term contract with Vestas. In terms of commercial highlights of the third quarter 2025, the vessels have been working out there, and we are starting with the Wind Orca that has been performing work on the He Dreiht project for Vestas. The Wind Osprey has done an O&M campaign for Vestas and are now installing a wind turbine installation project on Baltic Power in Poland. Scylla has continued to work on Revolution Wind in the U.S. for Ørsted and Wind Zaratan completed an O&M campaign in Asia and are now getting ready for her next assignments in the next year. The Wind Peak is also continuing to install on the Sofia wind farm owned by RWE where we are working for Siemens Gamesa. Wind Maker is working on Greater Changhua in Asia for Ørsted. And Wind Pace have been executing an O&M campaign basically since she was delivered from the yard, and she's working for GE Vernova. The Wind Keeper, as I said, has arrived in Denmark on schedule and is currently undertaking a complex upgrade scope. And we do believe that we will see her on project in the first quarter next year. Wind Ally delivered 7 weeks ahead of schedule from the yard and sailed directly to the next mobilization port where she's mobilizing all her foundation mission equipment, getting her ready for the Hornsea 3 foundation installation project. Cadeler sits on a significant backlog across key markets, both in U.S. and Asia, but certainly also in Europe. And we have recently disclosed a very large foundation project with an undisclosed client for execution in 2029, which is something that we are very, very pleased with. I think it's a verification of the concept we are running on the foundation side where the biggest clients in our industry, they are coming to us for full T&I on foundation installation, both near term, midterm and also in the longer term. We will continue to work very, very diligently for more foundation work, but also for more WTG work. And as we do that, we will also continue to build Nexra, our O&M vehicle. And we expect that the backlog will continue to be strong across the years that we are sailing through now. The backlog has basically grown since we listed the business, and we are now standing today at a backlog of almost EUR 2.9 billion, where 78% of that has reached FID. We believe that, that is a quality sign that so much of our backlog has reached FID and also that we are continuing to grow the backlog. We have discussed before that we see 2027 and 2028 as years with slightly more competition for the projects and also an expected lower utilization degree on the fleet. But we are, of course, still working very, very hard to continue to get the best projects in these years so we can continue the journey with our fleet, with our company and our people. In terms of the newbuilds out there, we have Wind Mover that are delivering here in Q4 this year. This is the last delivery this year. And when this is delivered, we will have totally taken delivery of 5 vessels this year, including the Wind Keeper, which was an additional delivery this year that was unexpected at the beginning of the year. And it's very, very close to completion, has already completed the sea trials, and we are expecting, as I said before, to deliver the vessel in the next couple of weeks. The Wind Pace is on track. And she -- we expect that she will be floated out of the dry dock here in December 2025 and delivery is still planned for the third quarter 2026, but there are opportunities for us to potentially advance that should the market need that in 2026. On Wind Apex, we still look at the delivery in Q2 2027, and we are following the plan there exactly as on the other vessels. The Wind Keeper, as I said, has arrived at Fayard in Denmark, and we are on schedule. It is a big upgrade scope we are doing on the vessel, but we need to make sure that these vessels operate to catalyst standards from the beginning. We are working with one of our esteemed clients with Vestas, and we want to make sure that Vestas get a real Cadeler experience on the Wind Keeper from the beginning. The primary scope of the Wind Keeper will be O&M services, but with the crane she has and the leg length she has and the carrying capacity she has, she can also embark on installation scopes. For us, it's important that we make sure that we drive a lot of value out of this investment, and we believe that with what we have seen so far that, that is very, very much a strong opportunity for us and for our client in collaboration. At this point, I will hand over to Peter for the financial highlights in this quarter.
Peter Hansen: Thank you very much, Mikkel. Yes, financial highlights for Q3. It was a very, very strong quarter that reflects high utilization and cost under control in comparison to last year, of course, we have 3 more vessels in operations, the 2 B Class vessels Wind Peak and Pace and Wind Maker. Revenue was EUR 154.3 million. Equity ratio is still with the more leveraged balance sheet with deliveries and drawdown on our facilities still very solid 47.3%, utilization very high at 92.2%, which is very, very good for the quarter. Market cap EUR 1.4 billion, approximately 3x the guided EBITDA for the year. EBITDA for the quarter, EUR 109.1 million. Cash flow from operation activities, EUR 214 million. And as Mikkel explained, a backlog record high at EUR 2.9 billion, 3 months daily average turnover is EUR 5.4 million. If we look at the P&L for Q3, yes, again, it really reflects that there are more vessels in operations, Wind Peak, Wind Pace, Wind Maker. And it is a picture that we have seen quarter-by-quarter with a very strong results once a vessel goes into operations, our financials take a step up revenue, EUR 154.2 million, and that is due to, of course, the high utilization, but also the additional vessels. Cost of sales under control, EUR 38,000 approximately for the quarter, a little bit up as compared to last year, but also 2 vessels in operations in the U.S. with a little bit of higher OpEx per day, but still below the EUR 14,000 mark per day. SG&A also up due to what we have been communicated for some time now that we are building the organization exactly to what we see now. We have more vessels in operation and also the upcoming foundation projects. EBITDA, as said, is EUR 109 million, which is more than double what we had last year. P&L for the 9 months from the 1st of Jan to 13th of September, it is more or less the same story. In addition to that, you can see that the OpEx for the year is EUR 34,000 per day, which is also reflecting that it is operation under control. As communicated around first half report, we also have received these termination fees for the termination of a long-term agreement on a postponed -- including on a postponed project Hornsea 4. Balance sheet, yes, reflecting the deliveries and we have taken so far this year, 3 new builds and the Wind Keeper. But as said, still equity ratio at a very comfortable level. This is a slide we have shown a couple of times. It really shows that we have sufficient funding to go through the remaining CapEx program we have with the Mover with 2 A Class vessels coming in, in Mover in Q4 '25 and Ace in '26 and Apex in '27. So we have quite a strong balance sheet and cash and liquidity available. And other story here is that we still see a lot of support from the banks. I think it's unchanged strong support we have seen throughout the last couple of years. Apex is not committed financing yet because it's delivered in '27. So we will start financing that one in '26 and have that in place approximately 1 year before delivery in order to not incur too much commitment fees on that one, but we see exactly the same strong support and interest from the banks also for the Apex. This is the financing overview. What is new here is that we had a Wind Keeper bridge facility that we took when we signed the agreement on the acquisition of Wind Keeper, and we have now a Wind Keeper syndicated facility in place to replace that. That was not done by end of Q3, but that is something that has happened subsequently. Full year outlook for '25. We maintain the outlook that we issued around first half year report after the termination of the long-term agreement. Of course, we are way along into the year, and there's not a lot of uncertainties and judgments left. However, we -- what can fluctuate here is how much of the T&I scope of -- on T3 that falls into '25, '26, '27, that is something that can move a little bit, but we maintain the guidance from half year before. Over to you, Mikkel.
Mikkel Gleerup: Thank you, Peter. In terms of commercial outlook for the business, I think what we can say in terms of our view on the market, we get a lot of questions on this and rightfully so. We do see a recalibration. We still see strong momentum, especially in the inner years and in the outer years with a period in between where the momentum is weaker. And what do I mean by that? Let me first talk about the inner years. I think it's fair to say that at the moment, there are several projects out there that don't have an installation solution or an O&M solution at the moment, and they are still looking in the market. In '26 and also in '27, it is becoming increasingly difficult to get a solution and especially if that solution is a solution where it's the same vessel that does everything. Of course, if you're willing to piece meal it together, then you can find a solution still. But this is -- this will be the next step. I think '26, close to impossible at the moment. And in '27, it is becoming more and more something that you have to put together to deliver a full solution to clients. So we are seeing that in the middle year, so the second half of '27 and also in '28, that some of the projects there have been shifting to the right. And that means that there are lower-than-expected utilization in this period. But we are still seeing a significant outbuild in '29 and forward. And as we have just shown the market as well, we have signed a big contract for '29, and we see actually that some developers that would like to secure their capacity for this period, the '29, 2030, 2031 period sooner rather than later to not miss out on the capacity in those years. So -- of course, a lot is still pending on the auctions that are coming like auction round 7 and auction round 8. But we do see that also there is support from governments. In Denmark, for example, there have been support on 2 of the offshore projects to make them increasingly attractive to the market. And hence, we also do believe that there will be successful bidding in Denmark around the auction. We believe that it's fundamentally important to say also that even with the adjusted targets, we are still seeing a large outbuild of offshore wind in this decade. And from next decade, we do expect that the curve will increase in its steepness and more will be outbuilt as we come into that area. And as we say at the bottom here, we do expect a vessel undersupply towards the end of the decade and the beginning of the next decade. In terms of capacity and what we see in the market and what others are seeing in the market, we are seeing a different reality from whomever you ask. And we have tried to show here what the various consultants and analysts that are looking at the market. When they look at the worldwide market, excluding China, what are they saying that will be installed before 2031. And no matter what line you're taking here, there is a significant increase from where we are today and to where we will be when we are into the next decade. So I think that Cadeler's focus is to grab the right projects, the best projects and make sure that we are running on as high utilization profile on our vessels as possible. And I think that we -- with the plan that we have laid out also for the middle years, the '27, '28 years that we are on a mission now to close these years in as fast as possible with the best projects possible in these years. It is a fact that there are more competition in '28 than we expected due to missed auction rounds and due to projects being shifted to the right, but it doesn't mean that there's no opportunity. And I think that, that is the important message from us that is that there are opportunities, and we are fighting for those opportunities, and we will continue to do so. Europe will continue to be the leader in the outbuild, but we also do see APAC continuing outbuild and especially Korea is coming in that market in addition to what we have seen in Taiwan and in Japan. Recently, there has also been a European developer signing a development agreement in another Asian country, but we don't believe that, that will have an impact in this decade. We still have the largest fleet in the industry, and we believe that, that fleet and the flexibility, predictability and affordability that it gives our clients is something that they are having a preference for. We are still active in a wide range of tenders across all years out in the future, and we are fighting as hard as we can to make sure that we deliver the best value and the best projects to our investors. That is what we come to work for and what we are fighting for every day. But we do believe that the offering that we can offer to our clients has a value and also something that will drive value for us and our investors. We have also shown on this slide that the supply has gone down since we last addressed the investors in a group setting. The Maersk Offshore Wind vessel, the contract between Maersk and Seatrium was terminated. And hence, at the moment, we do not consider that vessel as being in supply in the market and hence, the supply has gone down. In terms of key investment highlights, as I already said, largest and most versatile and flexible fleet, this enables a lot of different things for our clients, both in terms of cost utilization, efficiency and project derisking. And we see that all of these matters are something that we are currently discussing with clients for current projects, for projects in the near, the mid and the long term. We are active in all of these time lines. We have a highly experienced team, and we have been conservative in how we have grown the team, and that is also why we are confident that we have the right-sized team for what we are seeing in front of us now. We have good relationship with clients and with contacts in general in the industry, and we believe that we are in a very, very good situation in terms of negotiating projects with our clients. We believe we have a resilient global platform. We believe that we are able to spread risk on more units and hence, that we are also both from an operational risk, but also from a, let's say, a market risk in a good position. And we do see also that the O&M market is something that is taking an increased share of the fleet in terms of either campaigns on turbines or ad hoc service work that is needed for main component replacements on the products already installed out in the market. We do see an undersupply of capable vessels, in particular, on foundations in 2029 and WTG vessels from 2030. And that is something we can already start to see now because we are basically bidding some of those projects already now, and we see, as I said, also, a very strong growth in the demand for O&M services. So all in all, with the reality of the middle years, the second half of '27 and '28, we believe that we are in a market that in the short term will be very, very strong and very, very busy where every single vessel day will be captured. Then we are coming into a period of more balanced work and more balanced utilization and then coming into a market again that is picking up in '29 with the projects we currently see out there. We have a strong track record in the capital markets, and we are backed by a record high order backlog of EUR 2.9 billion and we believe that, that order backlog provides a lot of earnings visibility. And as I read in some of the reports this morning that came out, more than EUR 700 million of that is in the next 12 months. So also in terms of what is covered for the next 12 months, we are also in a very, very good position. So I think from that point, very strong near term, slightly weaker middle term and then a pickup again in the longer term. That is what we have for you today. So from this point on, we are happy to take questions.
Operator: [Operator Instructions] Our first question is from Martin Huseby Karlsen from DNB.
Martin Karlsen: I think you did a pretty good job talking about 2028 being a transition year, but I'm curious to hear a little bit on your confidence level for '29 and '30 seeing higher volumes. Is that related specifically to some events out there? Or is it in general contingent upon more government and political support for offshore wind in Europe?
Mikkel Gleerup: Yes. Thank you, Martin. Good question. I think the confidence level is primarily built on the number of projects we are bidding at the moment, but also how our clients are willing to commit to these bids if they can secure capacity. I think that for -- obviously, something like the U.K. round 7 auction, I know that the budget was for some in the market lower than what was expected. But I still believe that with the budget, a significant amount of projects can be approved. And for us, it's about being involved in the right projects, but also a general belief from the projects that are currently tendering in those years and willing to commit to those years, we form an overall view that we see and especially on '29 on foundations that there is or will be potentially a situation where not everybody can be served in that year.
Martin Karlsen: Good. And then as a follow-up, in terms of positioning Cadeler for the next, call it, next couple of years in terms of backlog, '28 looks maybe to be a little bit challenging. But when you get into '29 and '30 and there is quite a lot of uncertainty in the industry as a whole, could you talk a little bit to how you perceive or get comments from clients with respect to your positioning, having a large fleet of vessels and also being able to do both foundations and turbine versus some of the single or 2 vessel companies out there?
Mikkel Gleerup: Yes. I think that, that is something that is certainly valued highly by the clients that there is a degree of predictability and safety in the supply side because I think that even for a year like '28 where some developers, they have one project to execute, it is very, very important that, that project goes to plan. And I think that we see that -- and we also feel very much from the conversations we have with our clients that it is a lot around our ability to deliver, our ability to guarantee vessel and potentially backup vessels if something should go wrong, that matters more than anything else. We oftentimes get the question, how much do you discuss price with your clients? And I would actually still say that price is not the main thing that we are discussing with our clients, whereas it is true that there is, of course, more pressure in '28 because we are more fighting for fewer projects. So that's a natural function. But I think that there are realities on both sides of that. So I think, firstly, it depends a lot on which developer are we talking to. And secondly, also what kind of project is it that they want to execute. But particularly on the foundation side, it's a confidence in the delivery. And on the WTG side, it's also this whole, how can we back up around the turbine OEMs should they have problems, for example. So I think that those are things that we are discussing.
Martin Karlsen: And you touched a little bit on it, my next question in your answer already. But in terms of pricing, there's been at least from the outside, pretty solid pricing for '26, '27 execution, then you announced recently work for '29, '30, which also seem to be at a good pricing. Can you kind of help us understand that in the context of '28 demand looking a little bit softer?
Mikkel Gleerup: And I think again, it depends a lot where you're looking. If you're looking in Asia, I think that we are still seeing a tighter supply and demand balance even in '28 compared to rest of the world. But I would say in Europe, we are seeing that in '28, the prices are slightly more under pressure, and you need to be sharper in order to secure projects there. So in '28, I would argue that price is a matter because obviously, if you have a project in 2028, you also know that there are more companies that can do it for you than currently there are projects. And hence, that drives, if not a downward pressure on the prices, then at least a stabilization of prices at least. But I think that it is an overall evaluation criteria. It's -- as I've said before, it's hard to evaluate it on a daily rate basis. So I cannot tell you that it has gone down from this to this. But I think it's more for the overall view on the project, but it doesn't mean that it's not still something that is attractive for us to do.
Operator: Our next question is from Jamie Franklin from Jefferies.
Jamie Franklin: So firstly, just focusing on 4Q. You mentioned obviously that Hornsea 3 is probably the biggest variable in terms of where you end up within your full year guidance range. Could you maybe just give us a bit more color on the scope currently being worked on Hornsea 3? And then as you move into 2026, what is your kind of current expectation in terms of timing for first monopile installation, please? And then the second question is just for Peter. In terms of the cash flow for 4Q, can you give us any indication of what to expect in terms of working capital, a pretty decent inflow in 3Q? Should we expect that again in 4Q? And similarly, on CapEx, what are kind of the main components to expect in 4Q? Is it just a final installment of Wind Mover? Or are there going to be some Wind Keeper upgrade CapEx as well?
Peter Hansen: Yes. If we take the last question first. Thank you, Jamie. CapEx Q4, that is, of course, the Mover. And then it's mission equipment on Wind Ally, I think. And then, of course, what is also coming every quarter is these capitalized borrowing costs. But on these 2, it will be around EUR 320 million so around that, but predominantly coming from the move of working capital. Of course, Q3 is a little bit of a special quarter for working capital because it goes down significantly due to that we have received the termination fees on long-term agreement cancellation that was sitting as an asset at the half year, end of June, and we received the money in Q3. So there was an inflow there. If you isolate that, it's pretty much the same picture we will see in Q4 as we have seen in Q3. We have modest growth in working capital or same level. That is what we see. What we are seeing on -- the transport and installation scope, we are doing in '26, that is, of course, the planning and engineering, but we're also starting on the transportation scope in Q4. So that is what we see the first monopile -- maybe you can answer that...
Mikkel Gleerup: Yes. I can answer that, we are not allowed to tell you because it's Ørsted that is having that under their announcement criteria, so to speak. So we are not allowed to guide you towards when the first pile is in the water. What I can say is that we are absolutely on plan on Hornsea 3 and that we follow all our planned deliveries on target and on budget at this stage, which is very, very pleasing because, of course, at this stage, we have delivered many of the engineering scopes that we have been working on for years and years. And this includes the transportation frames for the secondary steel, the transportation frames for the piles, the mission equipment for the vessel and the vessel is mobilizing at the moment. At the same time, we are preparing 2 ports, the Port of Tyne for secondary steel where the Wind Orca will operate from and Tees work where the Wind Ally will work from loading out piles. So a lot of things are going on. And we consider at the moment that we are in full execution on Hornsea 3. But of course, the Ally will come in, in the first quarter next year and start preparing for installation of piles, but the exact dates and targets and all of that is not something we are allowed to discuss in the public domain.
Operator: Our next question is from Daniel Haugland from ABG Sundal Collier.
Daniel Vårdal Haugland: Good to see you and congrats on a good report. So I have a couple of questions. The first one is on the contract, the EUR 500 million contract you announced recently. Are you kind of able to give any indication of a rough kind of percentage split of how much is related to the T&I services and how much is the installation that is...
Mikkel Gleerup: Unfortunately, we're not -- it forms part of an auction for the client, and hence, we are not allowed to divide it out any more than we are at this stage. We will do that whenever we pass certain milestones. But at this stage, we are not allowed to do that.
Daniel Vårdal Haugland: Okay. That's okay. And then my second question is, given that you're now kind of ramping up revenues from foundations into 2026, will you start kind of a segment reporting, splitting out the 2 different ones at some point? Or will you kind of just continue on the way you've already been reporting?
Peter Hansen: We have no plans to show segment reporting on that.
Daniel Vårdal Haugland: Okay. And then on kind of the commercial outlook, I see that you're still expecting vessel undersupply towards the end of the decade. So I was wondering, could you maybe explain a little bit more on that, Mikkel, because as you said, demand looks to be shifting to the right. So are you expecting anything to happen on supply as well? Or are you just saying that demand will still grow enough in, say, 2029 and '30 to still create an undersupply?
Mikkel Gleerup: Yes. As I said to Martin, when he asked the same question, I think that we are getting this confidence from the projects we are bidding and also the clients that are willing to put money where their mouth is, so to speak, on their projects. And that is for us a good indication that these projects are something that they are betting on at least and in terms of undersupply, I think we have said for a few quarters now that we think that most of the analysts they are getting the supply side wrong, both on the WTG and on the foundation installation and that too much is counted on the supply side. And I think that the future will show how that will work out. But as I think that has been said from our side before, whether or not there is an over or undersupply, we believe that the best assets in the industry drive so much efficiency on a project that it will always be the best solution to go with the best asset. So in terms of fall height, we believe that we are in a good position with the assets we have, not for every single project in the world, but for, let's say, a standard offshore wind project at utility scale, we believe that there is a strong benefit and a strong efficiency gain in taking the best asset for the project. So I think that it's a combination of these things that we, in general, think that most analysts get the supply side slightly wrong. And we think also that the clients are much more, let's say, active and committing to the years '29, 2030, 2031 and then what I said around fall height.
Operator: Our next question is from Andreas [indiscernible] from SB1 Market. [Operator Instructions] Andreas, we are unable to hear you right now. Apologies. We seem to be having some technical difficulties. That is our final question for today. So if you -- we would like to hand back to Mikkel Gleerup for any closing remarks.
Mikkel Gleerup: Yes. Thank you. Just wanted to say thanks for listening in to this quarterly presentation. We are looking forward to come back to you with the fourth quarter and the year presentation also with more details on the Hornsea 3 because at that point in time, we will have a lot of exciting stuff to show you. So -- yes. Wait out for that. It will be interesting. There's a lot of exciting things going on at the moment, and we're looking forward to also announce the delivery of the Wind Mover in the not-so-distant future. Thank you very much for listening in and reach out to us if there's any follow-up questions that is better handled on a one-to-one basis. Thank you.